Operator: Good morning, and welcome to Quisitive's Fourth Quarter and Full Year 2022 Earnings Conference Call. Joining us for today's call are Quisitive's Chief Executive Officer, Mike Reinhart; and Chief Financial Officer, Scott Meriwether. Following their remarks, we will open the call for your questions. Before we begin today, I'd like to remind everyone that during the conference call, management will be making statements that contain forward-looking statements within the meaning of applicable Canadian securities legislation. Please refer to the company's forward-looking information disclaimer statement, which can be found - on the notice for this call, our website and fourth quarter and full year 2022 earnings release. Now, I'll turn the call over to Mike Reinhart. Sir, you may proceed.
Michael Reinhart: Thank you, operator, and good morning, everyone. We appreciate you taking the time to join our Q4 and full year 2022 earnings call. 2022 marked another year of significant top line revenue growth with solid gross margin, contribution and considerable progress on operational priorities. Additionally, we were pleased by our continued strength of adjusted EBITDA performance, something Scott will dive deeper into during his section. Throughout the year, we focused on integrating our business under the One Quisitive umbrella, a core foundation for our future strategy. It's our imperative for every Quisitive customer to experience the full breadth and depth, of our services through our engagement with our teams. We look to prove our ability to address not just acute business challenges, but actualize our vision to become a true go-to partner for end-to-end digital transformation. We invested in internal integration initiatives with the necessary energy and focus to ensure our roots are healthy and properly spread across our horizontally integrated market penetration approach. Despite the standard fourth quarter seasonality contributing to a lower revenue outcome in our Cloud Solutions business, recurring revenue maintained its pace and contribution, coupled with sustained growth in Payment Solutions. From a high level, in 2022, we experienced minimal direct impact from the existing macroeconomic environment and continue to flex our nimbleness to adjust to fluid market conditions. Additionally, we've seen dividends paid from our investments in recurring revenue streams. We continue to look for opportunities to bundle services and solutions to maximize impact and optimize customer spend and are reinforced by the executed deals, we're receiving across key areas and customers' continual prioritization of IT investment. In the same way, Microsoft continues to affirm the growth of key segments directly impacting our business, including an emphasis on Azure and Dynamics, core pillars of our business growth. We continue to advance our strategy to leverage our strong partnership with Microsoft, improve our depth of cloud-based technology solutions and services and provide industry offerings within healthcare, leveraging our MazikCare solution as well as in retail and payments with the PayiQ platform. These combined capabilities are positioning Quisitive as an industry leader in modern cloud services and industry software solutions. I am very pleased with how our vision was validated in 2022. We have begun 2023 with a clear vision and strategy, and we'll remain opportunistic to openings in the market, emerging synergies from previous investments and new customer demands. Now let's dive into the details of our segment performance. First, Cloud Solutions, we've experienced strong demand for our managed services division. Catapult's unique managed services skill set and offerings in both security and Azure are now core elements of our Quisitive portfolio and are being integrated into contracts earlier and more consistently within our sales process to bring greater depth with existing and future customer accounts. As you will have seen in our press release last week, the SpyGlass solution is filling a critical demand in the marketplace for security solutions. SpyGlass is an expert-led, roadmap-driven and IP-enabled managed service focused on security posture improvement. It includes assessment of vulnerabilities and strategy definition and management of improvements, including technology, process and policy solutions. As it is a recurring managed services contract that is industry agnostic and customizable based on the assessment of the customers' technology landscape, it is proving to be a powerful cross and upsell offering that fills a critical need for our customers. We are also seeing a clear inflection point in the realization of our MazikCare vision leading into 2023. The MazikCare solution boasts five distinct modules that effectively cover the spectrum of healthcare information technology needs for organizations of many types, including providers, care management, home health, labs, pharmacies and payers. In late 2022 and early 2023, we've had three new customers onboarded that, represent the full spectrum of solutions and customer identities, validating and fully realizing the vision of MazikCare. I'll provide a brief summary of these wins for you. We provided the MazikCare care supply module to an at-home dialysis provider. The engagement consolidated several enterprise resource planning software sets for a multitude of legal and healthcare-related entities together as a singular supply chain tool. The results of our efforts, has enabled on-time dialysis with no disruptions based on supply chain for the customers' patients across the United States. For Azure Health, a Canadian healthcare innovator focused on care coordination and value-based models of care, MazikCare, CarePath and Provider Link have been instrumental in reducing the time from symptoms to specialist care for thousands of patients across Canada. Finally, an enterprise pharmacy care services organization has deployed MazikCare Payer Matrix to simplify the revenue recognition process and correctly manage the healthcare payment process, decreasing patient costs and maximizing revenue collection. These stories paint the picture of our market penetration across customer types, and healthcare use cases and represents a 100% increase in MazikCare license once fully deployed. The product roadmap from MazikCare will continue to expand these solutions' impact to customers and sets a bar for the realization of potential for our industry-specific IP solutions. Our focus in cloud at this time is on delivering our bundled solutions and services that drive holistic digital transformation, leveraging our broad portfolio of solutions. Continued emphasis on driving recurring revenues via first-party IP is a consistent internal topic as we look to accelerate our impact for cloud customers and subsequently retain their business via managed services offerings. Our Q4 results are consistent with projections and we expect continued growth in cloud solutions this year. As we discussed last call, there have been some - decision delays and elongated sales cycles, and we saw this continuing in Q1 as a result of the aforementioned - macroeconomic circumstances. The overall pipeline remains strong, but these delays have shifted some Q1 revenue into Q2. We've also spent time and investment of resources in Q1 implementing new CRM, time management, project operations and billing systems internally. These platforms are essential for the business to provide operational foundation as we grow and to streamline future acquisitions. One other topic to touch on is related to artificial intelligence, which has been trending the past several months. As you are likely aware, Microsoft has made a large investment in Open AIs ChatGPT and has already launched their Dynamics copilot AI offerings across many areas, including sales and security. We are building offerings across our services and solutions that will leverage these AI capabilities. This will include advisory and consulting services to help our customers evaluate and implement these solutions while also extending the AI platform into MazikCare and PayiQ. As we find opportunities for implementation to solve business needs, we will pursue them diligently. While this is an interesting element to the equation of Azure and Dynamics, we believe that the utilization of AI technology in direct correlation with revenue is still in its nascent stage. As we shift to payments, I recognize there's been much talk of turbulence throughout the broader macro economy and its, impact on consumer spend. However, Amex noted on their latest earnings call that bonds rose both on a sequential and year-over-year basis, with record levels of spending on their networks recorded for the full year. Visa and Mastercard echoed similar resilience as domestic and international volumes either steadily rose or maintained consistency. That said, our BankCard Merchant Services group, the arm of our Payment Solutions business that focused on merchant acquiring recognized strong growth in payment volumes and revenue in the quarter. Some of this Q4 growth is, attributed to seasonal volumes, which were new this year to the portfolio. As we touched on previous call, seasonality plays a role in the quarter-over-quarter performance of this segment. Generally speaking, the first and second quarters of the calendar year are strongest in volume metrics and revenue while the latter part of Q3 into Q4, see a slight tapering. This year, we saw stronger growth in Q4 than previous years. The traditional Q1 and Q2 seasonality is predominantly due to the product sales mix of consumer purchases, coupled with the strong labor renewals we see from our merchants who build for membership services annually, which are processed in the second quarter. In summary, the increasing improvement we see on both, volume sequentially and year-over-year is encouraging, and that trend we look to continue. Last quarter, we discussed the card networks' holiday production freeze and the impact to PayiQ certification, which we're happy to report, was lifted at the end of January. We're fully reengaged and the teams are actively working with both Amex and Discover to execute the certification process. We expect the Amex Direct and Discover certifications to be completed in Q3 and the Amex OptBlue to follow shortly after. We continue to build out full operations and integrations with Visa, Mastercard and our banks for clearing and settlement and plan to begin to onboard select e-commerce merchants to Visa, Mastercard beginning in early July. Then once the Amex certification process is completed, we can begin to migrate groups of merchants to the platform later this year. In late Q4, we launched a development effort in partnership with Microsoft to create our API platform and PayiQ developer portal that will enable integrations with ISVs and other industry software solutions. We have made great progress getting this capability in place, and we are near completion with our first ISV solution, WooCommerce, and have other efforts underway with providers for POS solutions and gateways. All of which will enable a scale approach for industry software solutions built on Microsoft and other technologies to easily integrate the PayiQ solution and drive payments volume. In addition, we are building out PayiQ platform environment with an e-commerce storefront that will allow us to showcase live transactions powered by PayiQ and our merchant portal platform for prospective merchants and all of you as investors. We expect to have this complete by the end of May and will develop opportunities to develop this environment and allow the world to see the platform in real time, execute and process payments. It has been a long journey, and I know there has been many doubters along the way. We are excited and look forward to showing all of you PayiQ, the payment platform of the future. On to our partnership with Microsoft, our cloud IP and scale for sales and delivery continues to be a differentiator from other Microsoft partners as our solutions enable speed and innovation and deployment and are coupled with first-class service by professionals with deep industry expertise across verticals. We are in the top tier of Microsoft's North American partners driving Azure consumption revenue or ACR, a key metric utilized by Microsoft. Additionally, we've achieved all six of Microsoft's available cloud solution program designations, including Azure service and integration as well as security and business application solutions. Again, the strength of our relationship with Microsoft not only enables aligned sales and marketing motions that accelerate customer acquisition and drive revenue, but also establish Quisitive as a premier solution provider in this broad ecosystem. In line with our positioning at the end of 2022, we anticipate more growth and further penetration of Microsoft-related opportunities as we leverage all available tool sets, including partnership programs to supplement continual vertical expansion of our cloud solutions and assisted innovation on our payment solutions. In our M&A strategy, we continue to review both opportunities in cloud and payments. In cloud, we will look to add our IP and services scale. While in payments, we'll look to add accretive payments technologies and/or ISOs with diversified portfolios that lend additional merchants to our pool and more talent in our back-office operations for the Global Payment Solutions business. As the M&A landscape shifts towards a buyer's market, we're proactively vetting candidates, remaining keen on companies that will provide incremental value to our organization. Thus far, our M&A strategy, has allowed us to grow sales capabilities, expand geographic presence and facilitate the expansion of our product and services portfolio. We recognize the immense value of M&A and remain on the lookout to find the right opportunities. Looking ahead, we expect to continue growth in spite of the broader market conditions. We're continuing on the path set forth within previous years with a focus on complete activation of the payments business capabilities and simultaneously leaning deeper into our partnership with Microsoft to generate value for customers and shareholders. Thank you all for joining us, our shareholders and supporters. I'll turn it over now to our CFO, Scott Meriwether, to discuss our Q4 and full year 2022 financial results. Scott?
Scott Meriwether: Thanks, Mike, and thank you to all who are joining us for today's call. Before we get into the numbers, I know many of you are curious about our exposure to Silicon Valley Bank and any of the other affected banks in the banking ecosystem. We have zero direct exposure to SVB and these other banks. We know of only a handful of customers that had any exposure to these banks. They are immaterial to our results and have not created any impact to our financial projections or operations. Basically, we are not affected or impacted by the Silicon Valley Bank situation. Moving on to our fourth quarter results. Revenue for the fourth quarter ended in December increased 38% to $45.9 million from $33.3 million for Q4 of '21, driven by our acquisitions and our organic growth. We had a partial quarter of the Catapult acquisition in Q4 of '21 compared to a full quarter in Q4 of '22. Removing Catapult completely from the results, we experienced organic revenue growth of 17% in Q4. We normally have a seasonal dip in Q4 as the professional services revenue within our cloud segment is impacted by the Q4 holiday schedule. This seasonal trend drove the sequential quarterly debt from Q3 of '22. Gross margin increased 45% to $19.0 million in Q4 of '22 over $13.1 million in Q4 of '21. Our gross margin as a percentage of revenue increased to 41.4% from 39.3% in Q4 of '21. Our gross margin percentage remained relatively consistent with Q3 of '21 - with Q3 of '22. And given the seasonality of our revenues in the Cloud segment, we are pleased with this overall gross margin performance for Q4 of '22. We will continue to focus on increasing our gross margin percentage as we emphasize cross-selling across our integrated cloud acquisitions and later in FY '23 as we begin to activate our PayiQ payments channel. Adjusted EBITDA increased 79% to $8.1 million for Q4 of '22 from $4.5 million for Q4 of '21. Adjusted EBITDA as a percentage of revenues was 17.6% for Q4 of '22, an increase from 13.6% in Q4 of '21 and also a sequential increase from each quarter during fiscal 2022. There was a one-time item in Q4 that was a benefit to EBITDA, which will be discussed in greater detail within our segment discussion. Excluding this one-time benefit, adjusted EBITDA would have been $7.6 million which is similar to Q3 of '22, albeit with a higher EBITDA margin on revenue for Q4 of '22. We'll now move discussing the specific performance of our segments. Revenue in our Global Cloud Solutions segment increased 40.3% to $32.3 million for Q4 of '22 from $23.0 million for Q4 of '21, driven by the Catapult acquisition. Recurring revenue within the Cloud segment was $10.8 million in Q4 of '22, up from $7.6 million in Q4 of '21. After a strong year performance in an especially strong Q3, the Cloud segment's performance was slightly weaker in Q4 of '22. Frankly, team members had more PTO in Q4 than we forecasted which affected our professional services revenue and intensified the seasonality of Q4. As a result, organic growth was 8% for the quarter. For context, organic growth was 19% in Q3. Despite the weaker Q4, we averaged 12% for the fiscal year. As Mike noted earlier, we expect Q1 to be the weakest quarter for the cloud business in 2023 as several customers delayed projects while they evaluated the macro - economy and their own Q1 results. Q1 '23 will look more like Q1 of '22. And given the strength of our pipeline, we still expect double-digit growth from cloud for all of fiscal year '23, but it will be weighted more heavily in the last three quarters. The Cloud segment's adjusted EBITDA improved 44% to $3.7 million for Q4 of '22 from $2.6 million for Q4 of '21. EBITDA margin increased to 11.4% in Q4 of '22 from 11.1% in Q4 of '21. In line with the revenue trends we noted earlier, EBITDA and EBITDA margin decreased sequentially in Q4 of '22 from our Q3 '22 high watermarks. Revenue for our Global Payments segment once again set a quarterly record, increasing to $13.6 million for Q4 of '22 from $10.3 million for Q4 of '21 and delivering organic growth of 32%, all of the Q4 revenues from our BankCard acquisition. We continue to deliver strong payments charge volume growth as charge volume grew 8% year-over-year. Revenue growth outpaced the charge volume growth as we added new revenue to third-party revenue streams for which we do not control or account the charge volume. This is a change in how we previously reported our charge volume, but we believe it is the most accurate measure. We only report the charge volume from our directly in variance with our charge volume number. Last year, we had a mild uptick in charge volume between Q3 and Q4. We had a slight decrease in charge volume between - Q3 in '24, but this was driven by that change in how we report volume. Revenue was actually up 6% from Q3 of '22 to Q4 of '22. Seasonality had a greater impact on our revenue and adjusted EBITDA within the BankCard portfolio as the performance achieved their expectations. The seasonal performance will pullbacks on 2023 so I want to caution that this is not a new run rate, but we were certainly pleased with the results. Adjusted EBITDA for our Payments segment increased to $4.4 million in Q4 of '22, an increase of 123% from the $2.0 million recognized in Q4 of '21. Q4 of '22 was also a $1.9 million increase from Q3 of '22. BankCard contributed a strong quarter of EBITDA with $5.1 million in Q4 of '22 before the allocation of corporate cost. This is a $1.7 million or 49% increase over Q4 of '21. The increase was driven by the year-over-year increase in charge volume and the increased seasonality we noted earlier. The EBITDA for the Payments' division in total includes spending on the PayiQ platform, which reduced payments to EBITDA by $0.4 million in Q4 of '22. This $0.4 million of costs in Q4 of '22 is arbitrarily low as we had a $0.5 million - out of period catch-up entry for our software development capitalization cost. This $0.5 million was an, add back to EBITDA within Q4 of the payments. Without this entry, PayiQ would have contributed negative - $0.9 million of EBITDA in Q4 of '22. Overall, PayiQ ran at an EBITDA loss of $4.2 million for all of fiscal year '22. In addition, we took a $1.5 million charge to income in Q4 of '22 related to the write-down of the contract receivable from the early days of LedgerPay. This receivable - was several years old. We included an add-back of $1.5 million within other expense and our Q4 of '22 adjusted EBITDA to remove this out-of-period non-cash item. We have noted on our previous calls that operating costs related to PayiQ are expected to increase throughout 2023 as we reach market readiness and the launch of the platform. We expect that the $4.2 million of EBITDA losses experienced in FY '22 will increase in FY '23 before reducing throughout fiscal year '24 as increased revenue will begin to offset - the existing spend throughout - fiscal year '24. Moving to the balance sheet. At December 31, we had $78 million of term loans outstanding and $9.4 million of cash on hand. At December 31, our total leverage ratio was 2.54 times, driven by increased EBITDA and our continued debt pay downs. Our leverage ratio covenant stepped down to 3.0 times at December 31. Our quarterly debt paydowns are $2.4 million. At March 31, we amended our credit facility with BMO to lower our fixed charge coverage ratio from 1.25:1 to 1.10:1 covenant for fiscal year of 2023. Our fixed charge coverage ratio is more than interest coverage as it includes adjustments for interest, CapEx and other items. This covenant change gives us more flexibility to deliver our strategy during a time of rising interest rates. We are confident in our cash flow and working capital position. Cash flows from operations were $7.6 million in Q4, and we want to highlight the strength of that performance. Moving forward, we expect Q1 of '23 to be our weakest quarter for cash flows from operations, similar to 2022, but to return to stronger operating cash flow for the remainder of 2023. During Q4, we made one earn-out payment of $2.1 million with 70% being paid in cash and the remainder paid using equity. We have $11.1 million of projected earn-out payments and short-term liabilities on the balance sheet at December 31 related to the BankCard and Menlo earn-outs $11.1 million includes $5.6 million of earn-outs that will ultimately be paid with equity for the contractual terms of the purchase agreements. As a result, our working capital deficit at December 31 of $5.2 million is arguably overstated as it includes earn-outs that are expected to be paid with equity. The final earn-out from Menlo will be paid in Q2 and the final earn-out for BankCard will be paid in Q3. The second earn-out for Mazik will be paid in Q3. After these payments, we will only have the year three earn-out for Mazik remaining, and it will be our only remaining earn-out for our prior acquisitions. Within cash flows for investing activities, we will met an unusual net of CapEx for Q4 of '22, specifically within our purchase of intangible assets. This amount was $2.5 million for Q4 of '22 and was made up primarily of software capitalization. The $2.5 million includes the $0.5 million catch-up for PayiQ I noted earlier. It also includes another $0.5 million of IP we bought back from a customer for our MazikCare platform. Given our momentum with MazikCare product rather than redeveloping some specific IP we created for our customer, we bought back the rights to that IP so we can get into the market faster. Excluding these two items, our software CapEx would have been $1.5 million, which is more in line with our expected quarterly run rate for fiscal year '23. We expect Q1 of '23 to be a touch light in that $1.5 million and Q2 and Q3 will be a little higher as PayiQ nears market readiness, but overall, we should average around that $1.5 million of spend per quarter. The current weighted average interest rate on our term loans is approximately 7.81%. Going forward, we expect to convert roughly half of our adjusted EBITDA into free cash flow, which can be used either for acquisitions or debt repayment. We define free cash flow as adjusted EBITDA minus CapEx, internally capitalized software, cash interest and cash taxes. As we begin 2023, we remain confident in our ability to deliver continued growth. We expect our Payments segment to continue its strong performance in 2023. The PayiQ platform will launch in the second half of the fiscal year, but we do not expect the revenue contribution to be meaningful to the fiscal year. Its impact will be much more demonstrable in fiscal year '24. We expect our cloud segment to experience some pockets of softness as decision-makers' heads of recessionary peers. However, our pipeline remains strong and our sales team is benefiting from our consolidation efforts in fiscal year '22 in our One Quisitive approach. Our proprietary IP with our Cloud segment, namely our MazikCare product suite is gaining traction it will be a growth driver for fiscal year '23. These internal trends give us confidence in our ability to continue to build our organic growth throughout fiscal year '23. This concludes our prepared remarks. Thank you for all your time this morning. We are very proud of our '22 results, and we look forward to updating you on our progress going forward. We're now ready to open the call for your questions. Operator?
Operator: Thank you. [Operator Instructions] And now our first question will come from Rob Goff with Echelon. Please proceed with your question.
Rob Goff: Good morning and thank you for taking my question and congratulations on the quarter. Perhaps could you talk a bit more towards the organic growth outlook to the extent that the market is somewhat softer or to the extent that sales contracts are being extended? I know that you did say that some contracts were being deferred from Q1 into Q2.
Michael Reinhart: Yes, thanks, Rob. So on the cloud side, as we talked about, we actually are seeing some significant pipeline and some large deals. Those larger deals are taking a little longer to get through the review and signature process, because of size and scale. And as I described it, another C level has to get involved to sign those. We're seeing that they're putting some scrutiny on ROI and some of those kinds of things, so some of the sales cycles elongated, but the pipeline continues to be there, and we have verbal commitments on things that we thought were going to start in the February timeframe got pushed to April and May based on customer activity. So, we continue to see that. So, to Scott's point, we see the opportunity for growth. For the year, it's really just a little slower start as a result of some of that deferment of activating those larger pipeline deals. We are seeing strong growth in our managed services and then some of what I talked about on our basic care healthcare activities, momentum and that did begin in Q1, and we'll continue to see that. And the benefit there, obviously, is the recurring nature and continuing to expand our footprint on recurring revenues.
Rob Goff: Thank you. And perhaps there on the recurring and highly reoccurring revenues, could you talk to the mix that you see over the year and the growth in those?
Michael Reinhart: Yes I mean, obviously, we've been running - recurring revenue mix had been at about 30%, 31%. And you saw in the quarter about 33%. Obviously, we can expect that to continue to expand. As the professional services momentum starts to grow as a percentage, it may not increase significantly. We expect it to be in that low to mid-30s range. But we continue to see great momentum in the back half of the year in professional services as well. So that growth potential as a percentage will continue to expand. But as a dollar basis, will grow pretty significantly for us.
Rob Goff: Very good, thank you.
Operator: Our next question comes from Stephen Boland with Raymond James. Please proceed with your questions.
Stephen Boland: Thanks. I wonder if you could just go back to the Payments segment. I just want to make sure I understood that, Scott, you said the volumes increased 8%. And maybe just - if you could just talk about the momentum, are you - I don't know if you ever gave the number of merchants that you had under contract, but maybe you could just talk about the growth of number of merchants, the payment volumes, is that because of more emergence or more just payments coming in through our existing customer base. Maybe you can just spend a minute just updating now a little bit more clearly, please?
Scott Meriwether: Sure yes. We haven't disclosed the total merchant count, but we've historically given the number that is over 5,000 has remained in that amount. It's increased sequentially since we've had them - since we completed the acquisition. Overall, the growth has been two factors. One, their existing merchant base continues to grow. So their existing customers are growing - they have much lower attrition on a charge volume basis than the market average, typically in single digits. We've had some months where we've actually had negative attrition in our same-store sales growth, which is frankly really kind of unheard of in the industry. Most general retail restaurant ISOs have charge on maturation that's up and the north -- have high 20s or low 30s as a percentage. So, a lot of it's just the quality of the book, the way they take care of their customers. And so, they have customers that are growing, and then they continue to add new customers and those have been the primary drivers for the revenue growth we've seen. So, the charge volume has gone up. The type of customers they are targeting have produced higher revenue yields, frankly than the market average. And so those -- since the time of acquisition have driven the revenue growth and the EBITDA growth we've seen and -- it's been a fantastic acquisition and that has really kind of outperformed everyone's expectations. So really proud of them as a team.
Stephen Boland: Okay. And then the second question, just on PayiQ maybe just to go through the sequence again -- that well, the first -- you said July you're going to move select customers on to PayiQ. And I presume that's for the payment processing or is that for payments intelligence, or is that -- will that come later?
Michael Reinhart: Yes, so we'll start with payment processing. We've got a select set of merchants that only require Visa, Mastercard that we will onboard to begin the process while we're completing the Amex certification. Most merchants require the Amex component. Discover less so, but certainly Amex. So, the larger migration activities can't occur until that Amex certifications are complete. So the process will be working on payment-related processing. And then the payments intelligence, we have some things we'll talk more about in the Q1 call around some things we're doing for proof-of-concepts and things like that relative to some PayiQ insights and other things that we're doing. But our focus at the moment is platform certification and payment processing. And then, we'll evolve the Payments Intelligence. We'll talk more about that here in a month or so.
Stephen Boland: Okay, thanks Mike.
Operator: Thank you. Our next question is from the line of Robert Young with Canaccord Genuity. Please proceed with your question.
Robert Young: Hi, good morning. First question for me would be around Microsoft and their seasonality. Just you're talking a little bit about - and they were talking a little bit about a shift in their demand towards optimization in the cloud? And I'm just curious if there's, any changes in the way that they're treating quarter relief for incentive dollars that might be good or bad for Quisitive? And then maybe just a second part to that would be around their year-end. I think we're in the final quarter for them right now, and maybe they're very aggressive on that. I'm just curious how that impacts you?
Michael Reinhart: Yes, so relative to the optimization, and I talked a little bit about this. It certainly has some impact to the growth, although on the magnitude of dollars, 30% growth is still a pretty significant number. So I look at that as a great opportunity. But what they are doing from that optimization perspective, and I think I touched on this a little bit last time to reiterate. What optimization means is during the pandemic, people moved stuff to the cloud as fast and as rapidly as they could without any real evaluation of whether or not it could optimally operate in the cloud. And what's happening is some of those workloads that companies moved are actually costing significant amount of money to run in Azure. And so what's happening is they're bringing us in some of these projects that I'm talking about that are significant are to reengineer applications or reengineer look at data sets and make sure that they're designed in a native cloud way so that they run effectively and efficiently. And that optimization actually benefits some of the services that we're bringing both managed services as well as some of the professional services kinds of things as we progress. We expect that to be a big part of 2023. So that's really the optimization thing. It's about fixing the stuff that got put into the cloud that probably should have never been there. Relative to their year-end, it's changed a lot. I mean certainly, there's an intense focus that Satya and Amy put on their field around delivering the number. But remember, in the old days, they could close the deal at the - on the last day of the quarter, because it was revenue recognized based on the commitment. In the cloud world, that's very difficult for them to have a single quarter momentum. So fourth quarter has different characteristics now than they used to with them, where it's really about certainly bringing in the number, but it's about delivering the quarter and setting up for the next quarter. We're already talking to them about programmatic things that they're putting in place in Q4 to make sure they have a great. For them, that's - their quarter is fundamentally in the bag as they get into the fourth quarter, they certainly got a few deals to bring across, but they're working now on Q1 and putting in their new programmatic motion, and we're working closely with them to do that. So working very tightly what's happening as the market is getting a little tougher, they're working with fewer partners. And thankfully, we're one of those that can give them scale and reach, and our teams are very active with them, helping them not only close the quarter, but begin the execution for the new year.
Robert Young: Okay thanks for that color. Second question for me would be just maybe a, follow-on on last question. You're talking about the Amex certification gaining some of the ability to bring some customers across onto PayiQ. And is there any sense of how large that is? If there is a longer delay in Amex certification, does that push out the entire piloting or migration process and maybe just give a little bit of sense around that and - ways to mitigate that risk.
Michael Reinhart: Yes. So as I described, there's some select merchants we can bring across just with Visa and Mastercard. So we'll do those. But the majority of them are tied to Amex because, again, they need all three card networks to be able to process. So the Amex certification is the gating factor, the long pole in the tent, depending upon your analogy you want to use to be able to begin any of that migration wave. So as that would push, that would be the case. The good news is they're actively engaged with us and pushing hard. They're trying to help us get it done as quickly as possible. So we feel comfortable and confident in Q3 to be able to get the direct certification done and working to make that happen. That's the process. But yes, we got to have to have the Amex certification in order to do any kind of volume movement of merchants because most - of the merchants need that capability.
Robert Young: Okay thanks for taking the question.
Michael Reinhart: Thanks Robert.
Operator: Thank you. [Operator Instructions] Thank you. Our next question is from the line of Gavin Fairweather with Cormark. Please proceed with your question.
Gavin Fairweather: Good morning, just on the integration of the Cloud Solutions business, there's obviously been a lot of effort in putting new systems in place and bringing the teams together. I guess maybe just from a project delivery and operations perspective. Curious if you see that helping you drive margin, any kind of low-hanging fruit that you see there now that you've kind of moved towards the One Quisitive model?
Michael Reinhart: Yes. So certainly, I want to shout out to our team. We've - our Head of IT and Innovation, Steven Balusek and his team have done a fantastic job really running programmatic approach to bring these systems together. And there are several things that we're looking to do there is create there'll be operational efficiencies, some cost synergies and things we'll gain from going from three and four systems down to one. We're certainly they're going to get a lot of really strong KPI metrics, our new CRM system and other kinds of things as well as various operations and KPI things we're doing around subscription services that will give us much better visibility into net revenue retention metrics and things like that, that we'll start to put in place, but as we think about the synergies. Where - we're really seeing the value is the coupling of our managed services offerings with our health care go-to-market, and I'll give an example. One of the opportunities I talked about Arthur Health in Canada. We've combined our whole capabilities for the company to the customer. We have a managed services offering that we've incorporated, including our security and Azure managed services footprint, our MazikCare platform and all of the capabilities that we bring across Azure and application development and things into a holistic approach for them. It creates a one-point solution for them to deliver value. But for us, expands both the revenue footprint as well as the margin profile because of the mix of services and the increase of recurring. And as I referenced, we're bringing those things together, it used to be that we would go sell a project. And then at the end, we would talk about things like managed services. The way the whole kind of approach with customers is now we start out talking about our SaaS-based offerings as the value add to get them high value in partnership with Microsoft, then our - we bundle into that, the whole implementation services around whether it's development or implementation of dynamics, combined with managed services as a holistic offering. And that value point is what creates a longer digital transformation initiative for us and increases margins for us as we go forward across the leverage point with customers.
Scott Meriwether: And Gavin, I'll chime in on this just from this internal IT effort. From my seat, it will absolutely streamline the back office operations. It's going to provide a ton of additional enhanced management visibility and it's going to help us just manage the company better. And it's created a platform for us, a scalable platform for future M&A and just our playbook of what we want to do in the future and will enhance our ability to bringing in future acquisitions. So really a major change for us internally, really, really proud of the team and very thankful for the contributions they've done because. It's made us a better company.
Gavin Fairweather: That's great color. And then maybe just for my follow-up. On M&A, it seemed like a bit of a shift in your language in terms of the deal environment is starting to move towards the buyer's market. Maybe just elaborate on what you're seeing there and maybe refresh us on how you're thinking about leverage and using that to help get deals across the line. That's it for me? Thank you.
Michael Reinhart: Yes, M&A, we - last year, we were spending and focusing our time on integration and all the things that we needed to do because of the three acquisitions we did in '21. And we've continued to have discussions and continue to look more closely. We are seeing a little bit of pull down. I won't say it's a significant change to a buyer's market. But certainly, we're not seeing some of the crazy valuations on either payments or on the cloud side that were maybe much higher. But allows us to have an opportunity to look at how we might bring those in and continue to look at things, as I described around creating scale certainly on the payment side, operational capabilities along with scale is a key piece of what we need to do in payments. And yes, the way that we would consider financing it is continuing to use leverage and bring - use a credit facility versus debt given current share prices and things like that to be able to facilitate those. The acquisitions we do are going to have strong EBITDA contributions that we can borrow against those EBITDA contributions similar to what we've done in the past, but lean on that. So that would be the approach that we had used.
Gavin Fairweather: That's it from me. Thank you.
Operator: Thank you. Our next question is from the line of Christian Sgro with Eight Capital. Please proceed with your question.
Christian Sgro: Hi, good morning and thanks for taking my questions. The first one I'll start with is on PayiQ. And I'll think of PayiQ on a longer time line, maybe on the previous questions. But once - it's been commercialized in the back half of the year, now we move into 2024. How do you see the ability to scale once live and how high touch or low touch? Do you think the migration effort will be to get existing or new customers on to PayiQ?
Michael Reinhart: Yes. I mean, so as we've discussed before, once we're fully certified, we've been doing parallel planning about what the merchant book looks like. Most of them are e-commerce, a high percentage of them are e-commerce in the BankCard component. So as we look at those, you'll have things like gateway integrations. I touched on that with our API platform and things we're doing. We have gateway activities going on that allow us to connect into their existing gateway environment to make some of that transition. And we'll do those in blocks as we go. We've talked about that being $4 million, $4.5 million of incremental value on the PayiQ platform as we begin to migrate taking several quarters to do that. So you'll see that build throughout to beginning in Q4, but build throughout 2024. But remember, in parallel with that, we'll have a strong organic motion, both the BankCard sales engine starting to onboard net new merchants into PayiQ as well as the other sales motions that we have, both through ISVs and ISOs, direct, and in addition to, obviously, our cloud solution sellers and activating them along with Microsoft into the channel to do organic. And then incrementally, as we look at additional acquisitions, looking to - have volume that we could similarly move over as well as potential distribution channels to help scale that. But that will be the process and it will build again beginning late this year, but with the significant momentum to be in 2024.
Christian Sgro: Great. That's all helpful color. And then for my second question, I'll switch over to the cloud side of the business. You had mentioned bundling in the prepared remarks. And I'm always curious to learn from where we sit today, which products or solutions do you think of as the Trojan horse and then into new customers? And then where do you see cross-sell most normally going? Software to managed services or some other direction? What are you seeing from the market just now?
Michael Reinhart: Yes. I would - and again, we talked a little bit about this in the past, I think, but there's really this big change. It used to be that customers purchased projects based on a unique area. They might have looked at their data estate. They might have looked at a specific application. They may have looked at their data center environment, whatever that is. And what's really changed is those are no longer discrete events and activities as part of the power of the cloud, but it's also part of the challenge of the cloud. You have to think about a three to five-year journey and how are you going to unlock the value of various components of that. So where a customer starts might vary from one customer to another. One might be because it's in healthcare or MazikCare platform is a unique offering that pull-through dynamics, pull through Azure and managed services. In other cases, it might be they do have a specific workload that they need to modernize. Maybe they moved it to the cloud, as I talked about, but it's not running efficiently. So they're going to reengineer that. When they do that, they have to take a look at a broader context of their security footprint within the cloud. They have to look then at how they're going to manage and operate that cloud. So it's different entry points, but it's really having this depth and breadth across Dynamics, Azure infrastructure and security, applications and data, along with M365 in security and collaboration, all of that's in evolving. Customers are increasingly using Microsoft Teams as the portal for their employee base to engage to their other systems. So how does you use teams as your dashboard into your KPIs into your core strategic operational systems, all those kinds of things. All of that stitching together is a very different way to engage and you have to have full services across all of those. And that's where the arrows in the quiver, as I describe it, have to come together across many different dimensions. And it's something we're uniquely positioned to do within the Microsoft fabric, because we are building scale to be able to do that, both including onshore and offshore capabilities as well as depth and breadth of service that includes these industry capabilities of SaaS, our depth and breadth of managed services and then all the sophistication of technology services that we blend at scale that's quite unique.
Christian Sgro: Terrific, that's all helpful. Mike thanks for taking my questions in this morning.
Michael Reinhart: Thanks Chris.
Operator: Our next question is from the line of Divya Goyal with Scotiabank. Please proceed with your question.
Divya Goyal: Good morning guys. Quick color on both lines of business Mike, to your previous discussion and the questions we were just discussing, I was curious to understand, are you seeing longer-term contracts with most of your clients now given this increase in bundling and the demand - increasing demand for managed services alongside the SaaS business? And the cloud customizations that are out there now?
Michael Reinhart: Yes. So it's - we shared some of the things, multiyear contracts on our managed services. That's something that we've been introducing when we acquired Catapult and focused on one-year contracts, and we're extending those. Similarly, when we bought MazikCare, they were selling MazikCare on one year contracts, and we're extending those. So what you're seeing happen is that the SaaS-based offerings are almost all done on a three-year contract basis. The managed services are increasingly being done on a three-year contract basis. And then within that, there will be project services that are typically point solution provided, but have ongoing activities around extension and things like that. So we are seeing it be across the different capabilities, a set of sticky services, leveraging SaaS and managed services and then using our project services as the catalyst to bring all of those together. And even some of those project services are being done in an annual contract basis with customers extending that. One of the things that I think we've talked about this before, 80% of our professional services come from existing customers from prior years. So even though there's some resell, it might be that one customer is - goes from $1 million to $2 million, where another one went from $2 million to $1.5 million or whatever. But our revenues significantly come from existing customers year-over-year even on the professional services side.
Divya Goyal: That's great color. Just on the PayiQ, I wanted to make sure I understand this time line properly. So on the commercialization front, and we were all under an impression that you'd need Visa, Mastercard and we recently discussed that you need Amex and Discover. But like from today's discussion, it seems like you can start to do some level of commercialization this without even having Amex and Discover, as you mentioned, you can start some resonator transformations? So does that mean you can start the customer one or the actual payment processing for the real merchants in the Q2 period already, like I'm just trying to understand this timeline between Q2, Q3 for PayiQ?
Michael Reinhart: Yes. So commercialization is this broad term. We have been doing live transactions on PayiQ, where somebody transacts a card and processes to go through clearing settlement and all kind of stuff. We've been doing that and continue to. Some of that's on a house account that we have at the moment, but they are live transactions that are fully running through the tail. The first step is we are actually creating an e-commerce storefront that will be a live merchant that will be our merchant but and we will be demoing that. And that will be happening here in Q2, where we are able to demonstrate live transactions on a real e-commerce site to do that. And then we have identified some select customers as part of the BankCard business that are Visa Mastercard only that we can and we will go live with them using the platform to do that. So it's not volume. So, when we talk about commercialization, we're talking about the scale volume. But we will kind of step into that beginning in Q2 with a live e-commerce website and then in early Q3 with Visa Mastercard with some select customers doing all the operational things and those kinds of things. And then following on post Amex with the broader what generally is the full commercialization where we're beginning to move larger volumes of merchants onto the platform.
Divya Goyal: That's great color, thanks a lot for taking my questions guys.
Michael Reinhart: Thanks Divya.
Operator: Thank you. Our final question is from the line of Jerome Dubreuil with Desjardins. Please proceed with your question
Jerome Dubreuil: Yes thanks for taking my question. Mine is on the cost side for the coming next few quarters. It seems like you've been investing a little less in PayiQ in this quarter and understandably so. I think you're ready and waiting for certification now. Should - in the previous quarter, you were talking about investments of maybe $1.6 million per quarter. And now even after adjusting for the kind of one-time adjustment, it seems like it could be a little bit less than that in the coming quarter. Am I reading that right?
Scott Meriwether: No, I think Q4 was more of an aberration in a one-off. The run rate, it was $4.2 million in EBITDA consumption for all of fiscal year '22. I expect fiscal year '23 that from an EBITDA consumption perspective or negative EBITDA run rate, it's going to be in that $6 million to $8 million range, and it's going to be about $1.5 million CapEx when you also include our MazikCare products as well. So you're going to see it begin in Q1 of '23 begin to ramp in Q2 and Q3 as we move towards - as we move towards commercialization. Part of that is increased spend on the platform itself and just our development teams. The other part of it is to build out the operational themes. We've been able to hold off on that as we wait for the commercialization time line to crystalize for us. So as we have greater and greater certainty there. We'll need to begin to build out those operational centers that we need to support the product and the platform. Those have become much more scalable as we grow in FY '24, but you still have to have the same core platform, core people to take one call or to take 1,000 ton calls, right? You got to have that structure built. So we'll need to be building out our operations center throughout the middle part of the year, and we're also kind of accelerating our debt pipeline now that we're getting closer to what that launches with the network. So the spend will increase throughout '24 probably peak at the end of - I'm sorry, increase '23 probably peak at the end of '23. And then as revenue begins to offset some of that spend rate will begin to incrementally decrease that as a spend run rate, but through '24 and get closer to profitability and breakeven through '24. So that's generally how we kind of see that the arc happening.
Jerome Dubreuil: Yes, that's very helpful. And then on the cloud side, one of your important vertical is healthcare. Now that we're in a kind of new paradigm post COVID -- these organizations have been able to make a lot of changes in a short period of time a few years ago when anemic was starting. And now we're starting to look forward again. Are they seeing their investments with a fresh set of eyes there. Is there a meaningful change in terms of how they could see the modernization of their systems?
Michael Reinhart: Yes. So when you look at that space, a lot of what happened in the pandemic was centered around different ways to care and deal with all the unique circumstances there. But they didn't do a lot on core systems and leveraging and making those changes. It is a very fragmented universe of antiquated capabilities. And what you're seeing and there's consolidation going on, there's other things happening in that space, what you're seeing is this expansion of how do you really improve the experience of patients across this ecosystem, especially here in the U.S., where across hospitals and physicians and care providers of various types, which is where we're seeing the value from our MazikCare platform, especially patient management and some of those kinds of things. We're helping to stitch that together. You've got all the core systems, Epic & Cerner, those kinds of things that are doing a lot of the core operational kinds of things that companies, especially larger, have done, but that second tier can't afford those systems, and that's where we see a lot of great value from it. But - so there's significant investment being undertaken within the health care space. And it's actually a big focal point from Microsoft because it's an area where they haven't had a big penetration in the past and they see a great opportunity through their healthcare industry cloud capabilities, the Dynamics platform, MazikCare is a key component to help them do that. But then on top of that, all the things from an analytics perspective, and there's some other things happening, and we've got kind of a whole road map that we're putting together across not only CarePath, as we describe it, which is around patient engagement, chronic in transition care, those kinds of things. But the things in payer matrix, what we talked about around revenue cycle management, really being able to do member and benefit management, things like that. Supply chain, layering in kind of optimization of supply chain across that, both for procurement, tracking and tracing and things like that. And then lastly, around what we call a provider link, which is all the things around referral management, prescription management, things like that, that we're seeing be a high area of focus in that space, and we see a great opportunity for us to use MazikCare and its platform as the entry point. And back to my point earlier about all the arrows we have in the quiver, then complementing that with our deep dynamics expertise, our expertise in data and applications as well as then the ongoing ability to manage and help support those environments for those providers.
Jerome Dubreuil: Great, thank you.
Operator: Thank you. At this time, this concludes the company's question-and-answer session. If your question was not taken, you may contact Quisitive Investor Relations team at quis@gatewayir.com. I'd now like to turn the call back over to Mr. Reinhart for his closing remarks.
Michael Reinhart: Thanks, everyone, for joining us today. I especially want to thank our employees, partners, investors and customers for their support. We appreciate your continued interest in Quisitive and look forward to updating you on our next call. Thanks, and have a great day.
Operator: Thank you for joining us for today's fourth quarter and full year 2022 earnings conference call. You may now disconnect.